Operator: Good afternoon and welcome to the Flextronics Fourth Quarter and Fiscal Year-End Earnings Results Conference Call. All lines will be on listen-only until the Q&A session of today's conference. (Operator Instructions). Today's call is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the call over to Mr. Mike McNamara, Chief Executive Officer. Sir, you may begin.
Mike McNamara: Okay. Thank you. And firstly, I would like to apologize for the delay, we seemed to have some sort of telecommunication problems. But we are happy to get started now. Thank you for joining the conference call, to discuss the results of Flextronics' fourth quarter and fiscal year ended March 31, 2007. To help communicate the data in this call, you can also view our presentation on the internet. Go to the Investors section of our website and select 'Calls and Presentations'. You will need to click through the slides, so we will give you the slide number we are referring to. On the call with me today is our Chief Financial Officer, Tom Smach. I will turn the first part of the call over to Tom to go through the financial portion of our prepared remarks. I will then provide commentary along with guidance and then open it up to questions. So, go ahead Tom.
Tom Smach: Thanks Mike and good afternoon ladies and gentlemen. Slide 2. Please note that this conference call contains forward-looking statements within the meaning of the US Securities Laws, including statements related to revenue and earnings growth, success of our vertical-integration strategy, our ability to add new capacity, new customer programs, expected improvements in our SG&A expense levels, inventory management, operating margin, future cash flows, and ROIC, as well as the success of our long-term initiatives and related investments. These statements are subject to risks that can cause actual results to differ materially. Information about these risks is noted in our earnings press release, on slide 17 of this presentation and in the Risk Factors and MD&A sections of our latest annual report filed with the SEC, as well as in our other SEC filings. These forward-looking statements are based on our current expectations and we assume no obligation to update these forward-looking statements. Investors are cautioned not to place undue reliance on these forward-looking statements. In addition, throughout this conference call, we will use non-GAAP financial measures. Please refer to the schedules in the earnings press release, slides 8 and 9 of this slide presentation and the GAAP versus non-GAAP reconciliations in the Investors section of our website, which contains a reconciliation to the most directly comparable GAAP measures. Slide 3. Quarterly revenue increased $1.1 billion or 32% from the year ago quarter to a fourth quarter record high $4.7 billion. While quarterly adjusted operating profit increased to 36% from the year ago quarter, to a fourth quarter record high $141 million. Slide 4. Fiscal year revenue increased $3.6 billion or 23% from the prior fiscal year to a record high $18.9 billion. While fiscal '07 adjusted operating profits, increased 21% from the prior fiscal year to a record high $570 million. Slide 5. Revenue from the Computing segment comprised 10% of total March quarter revenue and decreased 11% from the year ago quarter. Revenue from the Consumer Digital segment comprised 24% of revenue, and increased 46% over the year ago quarter. Revenue from the infrastructure segment comprised 23% of revenue and increased 19% over the year ago quarter. Revenue from the Mobile segment comprised 31% of revenue and increased 53% over the year ago quarter. And finally revenue from the Industrial, Automotive, Medical and other segments comprised 12% of revenue and increased 47% over the year ago quarter. Our top 10 customers accounted for approximately 63% of revenue in the March quarter, with both Sony Ericsson and Motorola, each exceeding 10% of the March quarter revenues. On a geographical basis, Asia decreased sequentially to 60% of the March quarter revenue, while the Americas and Europe increased 23% and 17% respectively. Slide 6. Adjusted gross profit increased 30% from the year ago quarter to $277 million in March '07. Due to the seasonal sequential decrease in revenue and resulting richer mix, gross margin increased to 50 basis points on a sequential basis to 5.9%. Offset by a 50 basis point sequential increase in SG&A as a percent of sale. As a result, operating margin was 3% in the fourth quarter, as well as in fiscal 2007. This represents a 10 basis point improvement from the year ago quarter and is in line with our previously stated fiscal year operating margin of 3%. Although we continue to invest heavily in resources necessary to support our revenue growth, we believe we have a significant cost advantage by leveraging SG&A efficiently and effectively. SG&A as a percentage of sales declined 30 basis points in fiscal '07 to what we believe is an industry leading SG&A rate of 2.7% of annual sales. Slide 7. Adjusted net income amounted to a fourth quarter record high of $122 million, which is a 24% increase over the year ago quarter. This resulted in a fourth quarter record high adjusted earnings per share of $0.20, which is a 25% increase over the year ago quarter. Adjusted net income amounted to a fiscal year record high of $478 million, which is a 15% increase over the prior fiscal year. This resulted in a fiscal year record high adjusted earnings per share of $0.80, which is a 16% increase over the previous fiscal year. Slide 8. After-tax amortization and stock-based compensation amounted to $23 million in the March 2007 quarter, compared to $13 million in the year ago quarter. Restructuring and other net charges amounted to a benefit of $22 million in the March '07 quarter, compared to $42 million expense in the year ago quarter. After reflecting these items, GAAP net income amounted to $121 million compared to $43 million in the year ago quarter. This resulted in GAAP earnings per share of $0.20 compared to $0.07 in the year ago quarter. As previously stated, restructuring and other net charges generated income of $22 million in the March '07 quarter as a result of the realization of a cumulative foreign currency translation gain on a disposition of a foreign entity. The $22 million net gain was treated as a non-recurring item and excluded from our adjusted EPS of $0.20 in the March '07 quarter. Our previously stated strategy is to use theses types of non-operating gains to offset restructuring and other charges incurred from time-to-time. Slide 9. After-tax amortization and stock-based compensation amounted to $80 million in fiscal '07, compared to $56 million in the prior fiscal year. After-tax restructuring and other net charges amounted to $61 million in fiscal '07 compared to $189 million in the prior fiscal year. The divestiture of our software business generated an after-tax gain of $171 million in fiscal '07 compared with an after-tax loss of $31 million on the sales of the semiconductor and network service businesses in the prior fiscal year. After reflecting these items, GAAP net income amounted to a record high of $509 million in fiscal '07, compared to $141 million in the prior fiscal year. This resulted in a fiscal year record high GAAP earnings per diluted share of $0.85 compared to $0.24 in the previous fiscal year. Slide 10. Return on invested capital improved 60 basis points in fiscal '07 to 10.4%, up from 9.8% in the previous fiscal year. Slide 11. We ended the fiscal year with $715 million in cash. During the year, we repaid $122 million of debt, which was reduced to $1.5 billion at year-end and this is the lowest level in four years. Net debt, which is total debt less total cash, was $787 million at March 31, 2007. Including the revolver availability, total liquidity was in excess of $2 billion and the debt-to-capital ratio was 20%, at the end of the fiscal year, which is near record low. Slide 12. Cash conversion cycle came in at 15 days, which continues to be industry leading. Inventory increased $27 million sequentially, as inventory fell to seven times on a seasonally lower sequential sales. Receivables decreased to $152 million sequentially, as day sales outstanding increased four days sequentially to 36 days. While accounts payable decreased sequentially $306 million, as days payable outstanding increased 8 days sequentially to 74 days. Slide 13. During the fiscal year, we generated $276 million in cash flow from operations. Depreciation and amortization amounted to $327 million in the fiscal year. CapEx amounted to $569 million and acquisition payments amounted to $356 million during the year. Thank you very much ladies and gentlemen. As you turn to slide 14, I will now turn the call over to Mike McNamara.
Mike McNamara: Thanks Tom. Before discussing guidance, I would like to provide some comments on our fiscal year performance. Overall, I am very proud of our company's performance and the hard work and contribution of our employees and management across the globe in making it a very successful year for Flextronics. Fiscal '07 was a year of transition. In my first year, as CEO, I want to take a fresh look at our organization, and leverage its existing scale and capabilities to accelerate revenue growth and enhance profitability. While narrowing our focus to only those businesses that created substantial synergy. We embarked on a market focus strategy that was designed to enable our company to execute better, quicker, and more accurately, in an increasingly complex environment. We quickly expanded our executive team through the addition of five new executives. In doing so, we added innovative thinking and expertise that enhanced our value creation for our customers and created the necessary executive bandwidth to scale rapidly. We accomplished the company's growth objectives, as revenues grew by $3.6 billion or 23% to an all-time record high of $18.9 billion. And our operating profit grew by 21% while achieving our annual operating margin target of 3%. It is important to note that of the $3.6 billion of revenue growth in fiscal '07, approximately $3 billion of it or more than 80% of this growth was organic program wins with customers that did not come with any factory acquisition such as Nortel. We are obviously capturing market share and I feel this growth is a confirmation by our customers of the company's strengths and ability to meet their market demands. We will continue to be intensely focused on growing our market share with an appropriate return on capital. We are very pleased that we also met our fiscal '07 EPS commitment of $0.80, which is an all-time high and an increase of 16% over the prior year. Despite a heavy investment cycle, the company's return on invested capital increased by 60 basis points to 10.4% in fiscal '07, which is the highest level in six years. This is further confirmation that our incremental growth is generating ROIC. As good as the annual results are, the improvements in quarterly operating results accelerated throughout the year. For example, fourth quarter revenue increased $1.1 billion or 32% from the year ago quarter to a fourth quarter record high $4.7 billion. While quarterly operating profit increased 36% from the year ago quarter. The fourth quarter revenue growth of 32% compares to 31% in the third quarter, 23% in the second quarter, and 6% in the first quarter. Obviously, this accelerating trend will not continue at this pace forever. Our balance sheet is in good shape with over $700 million in cash and no short-term debt maturities. We repaid $122 million of debt during the year, thereby de-levering the balance sheet to a near historical low debt-to-capital leverage ratio of only 20%. We continue to lead the industry with our management of working capital, and ended the year with a cash conversion ratio of 15 days in the March quarter. Operations generated positive cash flow of $276 million for the year, which we are proud of, in light of the annual revenue growth rate of 23%. We expect to generate positive free cash flow of $300 million to $400 million in fiscal '08, which is after estimated CapEx of approximately $350 million. Another objective at the beginning year was to expand our low cost geographic capabilities, to not only help us meet our revenue growth expectations, while yielding better profits and return for our shareholders. But to also improve our competitiveness, enhance our capabilities, and provide value to our customers that increases their competitiveness. We spent $569 million in CapEx in fiscal '07, primarily to expand our operations in China, India, Malaysia, the Ukraine, Brazil and Mexico. This investment was funded through the $580 million of cash, generated from the divestiture of non-core operations. This is the first time in five years that our annual CapEx exceeded depreciation. We expect to be able to leverage these investments into the next year, and therefore expect that CapEx will be roughly equivalent to depreciation in fiscal '08. On the acquisition and integration side of the business, we concluded the Nortel acquisition this year with the integration of the Calgary facility. We also added significant businesses from new customers such as Kodak, Agilent, Verity, Cisco, Juniper and many others. We also expanded and enhanced our vertically-integrated service offering, where we've been adding capacity in plastics, metal to rigid PCBs and flexible circuits. As well as introducing new vertical capabilities in machining, LCD displays and power supply. We expanded our base of design engineering by over a 1,000 people this year, in a variety of segments and verticals. We've become more powerful and have invested aggressively, yet thoughtfully while maintaining our operating margins. We are very well positioned to compete in to this next year. Another key element of improvement that doesn't get highlighted in our financial results is the development of our key management of our company. To ensure we can manage the growth that we have experienced. As I've mentioned before, we have hired and promoted executives in all of our market segments. These individuals have developed infrastructure around them, to ensure we can continue to meet our customer requirements as well as effectively managing growth. As a result of this management development, our long serving President of Asia, Peter Tan, will be able to retire on June 30th. Under Peter's outstanding leadership and with him, we were able to grow our Asia operations to more than $11 billion in revenue and more than 60,000 employees. I, along with the rest of the Board and the management members would like to thank Peter for his incredible service and the personal commitment he has made to ensure this explosive growth in Asia was managed successfully. While I am pleased with these results and I believe they are a testament to our strong operational execution, I can assure you that we are not resting on our past accomplishments. We are very enthusiastic about the direction of the company, but there is still work to be done. We are currently ramping multiple large scale customer programs with a focus on execution and superior customer service. In addition, we are working on continuous improvement in several areas of our business such as operating margins, inventory management and ROIC, during this time of accelerated growth. Slide 15. Well, our annual market demand was a little bit weaker than expected in March quarter. We still significantly outperformed the overall market. As our March quarter revenue increased $1.1 billion or 32% from the year ago quarter, while quarterly operating profit increased 36% over the same period. The goodness of the 32% revenue increase was, demand for some high volume products and much of the IT and telecom infrastructure projects, came in a little later than expected. As a result, we think it is prudent to be conservative for the forward-looking guidance. As we now expect a softer demand environment through the first half of the current fiscal year. That being said, we believe our new program win should allow Flextronics to continue to outperform the overall market, no matter how the actual demand environment plays out. For the fiscal year ending March 31, 2008, we expect revenues to increase 10% to 15% and adjusted EPS to increase approximately 15% to 20%. This guidance remains consistent with our long standing annual growth targets. The purpose of providing you with this range of estimates is low. For those of you, who have a more bearish view on demand, could model the low end of the range, and for those who have a more bullish view on demand, you can model the higher end of the range. Slide 16. June quarter revenue should be approximately $4.8 billion to $5 billion. Adjusted EPS should be approximately $0.20 to $0.22. This represents year-over-year revenue growth of 18% to 23% and year-over-year diluted EPS growth of 11% to 22%. GAAP earnings per diluted share are expected to be lower than the guidance provided herein, by approximately $0.03 per quarter for intangible amortization expense and stock-based compensation expense. Before I move into the Q&A segment of our call, I want to remind everyone that I told you on our last earnings call in January, that part of our stock-based compensation, includes restricted stock grants to executive offers that began to invest in April 2007. As a result, I stated that this would result in some income-tax driven insider selling under 10b5-1 plans and it should not be interpreted of any indication on inside of use on valuation or outlook. It is nothing more than insiders monetizing the shares to pay the related income tax resulting from the vesting of restricted shares. We should expect to see some additional selling in May as additional shares are vesting. None of the selling is material to the option and shareholders of these insiders. Slide 17, Risks. There are lot of new risks of operating in this business which includes the macroeconomic, our technology slowdown among other things. Please pay particular attention to this slide in light of the current market conditions. I will now turn the conference call over to the operator for questions. Please limit yourself to one question and one follow-up.
Operator: (Operator Instructions). The first question is from Louis Miscioscia of Cowen. You may ask your question.
Louis Miscioscia - Cowen and Company: Okay. Great. I guess my question has to do with pricing and the competitive environment. We have obviously a lot of EMS companies there, still in the process of restructuring. But it seems like every time, I mean it's a less to get Flextronics restructured and not getting any kind of margin increase, which makes it difficult for everybody then. How are you seeing the pricing environment? Has it changed that much. And what do you see going through the rest of the calendar year?
Tom Smach: Well, I view this to be an incredibly competitive market, not only amongst the more traditional North American EMS providers, but also the competition that continues to come up in some product categories in Taiwan. So I view it as being exceptionally competitive. I don't view it really as trending one way or another. I always view it to be very aggressive and I think to make money in this marketplace under this competitive position, I think it's difficult and it's challenging. And I think you have to run at pretty high utilization levels and have to be pretty effective about how you go at it. But, I don't think that it's trended either positively or negatively in anyway. I just think it's continuously competitive.
Louis Miscioscia - Cowen and Company: Let's tie that into return on invested capital, because even all which you are doing, one of the better ones here in the industry right now from a performance standpoint, are only basically at your ROIC? Do you think the new fiscal year you'll be able to get meaningfully above your ROIC?
Tom Smach: But one other thing that is driving down our ROIC numbers is the amount of goodwill that we're carrying over from the double and the only way to makeup for that is to really to run volume through and have the new incremental volume coming in at higher ROIC than the existing. So, you can see that our ROIC goes up every year, it's slight. We're carrying a pretty good [BOD/ACRE] with the goodwill. And if you look at our ROIC numbers, our tangible capital, we are by far in excess of anybody in the industry. And I think we might be even in excess of Taiwan. So, I think earning on the tangible assets that we have is we are already best-in-class. I think we need to earn incrementally on all new businesses, as it comes in. But we are carrying a pretty significant goodwill component that a lot of the other North American EMS's have written off.
Louis Miscioscia - Cowen and Company: Okay. Great. And then one more quick one hopefully. You mentioned that if you are bullish on demand; go to the high end of your revenue range. If you are less bullish go to the low end. So, I guess, what would you describe, I guess, tech-ish kind of demand at the midpoint, like growth of 3% to 4% or something higher than that or?
Tom Smach: Yeah that's hard for us to be able to pick a number like that. I think the only thing that we can say generally about the market is certainly this front half is a lot softer than we anticipated back in December. And we're obviously hoping that there is some recovery in the back half. But clearly we didn't, we definitely are a lot softer than we anticipated even in the March quarter. We actually expected to over achieve our target of 4.8.
Louis Miscioscia - Cowen and Company: Okay. Thanks. Good luck on the New Year.
Tom Smach: Thanks.
Operator: Our next question comes from Tom Dinges, J.P. Morgan
Tom Dinges - J.P. Morgan: Hi guys. Just a quick one here, talk about the cash cycle a little bit. Obviously, you've gotten some good talk out of that, you made some big investments this year in fiscal '07. Now in fiscal '08 you're looking at ratcheting that back a little bit. Tom, what are going to be some of the main levers here? Because if I just back into it, obviously net income is going up pretty nicely for you guys. But it looks like may be a working capital velocity would probably change a little bit. I am kind of wondering, where are you thinking the cash cycle itself is probably going to end up for the year? And then, I got a quick follow-up.
Tom Smach: Yeah, so that's a good question Tom. It's really going to be all about inventory improvement. We have a lot of internal plans to accelerate our inventory turns throughout the year, with the pullback in demand that makes it a little bit more challenging here in the March quarter obviously. I've always encouraged you guys to model a cash conversion cycle of 15 days. We've historically been underneath that target for many, many quarters now. You can see that it’s kind of trending up towards that target right now. But I think, if we hold the cash conversion cycle of 15 days and below, we are world class in the industry not just the EMS industry. So, I'm comfortable, if you just assume a cash conversion cycle of 15 days or a day or two better than that.
Tom Dinges - J.P. Morgan: Okay. Great. And then, Mike, with the big expansions that you guys have made over the course of this year. Where you guys looking at expansion, is anything significantly new on horizon with the CapEx you're planning on spending? Or is this going to be simply expansion of some of the sites that you guys were already talking about over the course of the last year.
Mike McNamara: Yes, I think there was a little bit of kind of a step function if you will in terms of the facility expansion to get ready in all these different regions. And in addition to that, we added some capacity in printed circuit boards. And really the incremental CapEx, there is still a little bit of that hangover that's going on into this year. But really it is to buy the equipment to fill out some of these sites. And we probably have $200 million, which almost covers practically as the maintenance capital if you will. Just replacing under the old lines, things like that. So, really maybe the way you guys to think about is like an incremental $150 million, and that's really, it's really to fit on the facilities that we've invested in over the last year.
Tom Dinges - J.P. Morgan: Okay. Thank you.
Operator: Our next question comes from Brian White of Jefferies.
Brian White - Jefferies: Okay. I am wondering if you could talk a little bit about some of the trends you saw in the quarter. The quarter, started off slow, pickup or was it slow and got worse as it progressed. And may be talk a little bit about April?
Mike McNamara: Yes. I would say it started slow in January, and I think just kept slow all the way through to March. So I think, we actually had probably three down cycles. Like I mentioned, we actually geared up for having a pretty good March and its one of the reasons that we had some disappointment and our inventory turns number this quarter is -- we actually anticipated revenue being a little bit higher. So, I think we saw it kind of deteriorate for the first few months, maybe January, February, March. We saw it stabilize in April. So this last forecast cycle, we actually saw a stabilization of that number. We did not see any more deterioration. So, it seems like there is a little bit of adjustment. Oftentimes, there is in March, some of the adjustments, non-industry. Some of it's just, what the particular product cycles we are in with our customers. And which are not necessarily industry problems, and I think we are starting to see it stabilize a little bit. And that's why we have a little bit of positive hope for the second half of the year.
Brian White - Jefferies: And what markets look the most promising as we enter the June quarter?
Mike McNamara: Well, we think telecom will pick back up. That was a little bit softer. We think, sometimes it's hard to see if it's the March slowdown or if it's really an industry problem. We always experienced a little bit more in March than others, because we tend to be little a bit more consumer driven. But between some of the infrastructure products picking up and some of the customer ramps that we have, that are independent of industry or economy but just new business and as well. We'll assume that the cell phone market turns around a little bit. And I think between all those things, we are hoping. Those are the real key categories, I think.
Brian White - Jefferies: And Mike, what are the dynamics in the mobile phone market in terms of pricing units? How are you managing through this. I assume that's one of the reasons for a shortfall in the March quarter? With your internal projections.
Mike McNamara: Yeah, exactly. How do I find pricing and everything, same as it always is, it's rough. And I just don't see it getting much worse. To me, we are already priced at the bottom of a reasonable return. And I just can't see it deteriorating much from that. We have a lot of verticals and such that can help support those price points, particularly in that category. And, so I think it's extraordinarily competitive, but I don't think it gets any worse. I don't think they were better either.
Brian White - Jefferies: Great. Thank you.
Operator: Our next question comes from Bernie Mahon of Morgan Stanley.
Bernie Mahon - Morgan Stanley: Question for you on the gross margins, Tom. So they were up 50 basis points sequentially in the March quarter. Is that all because of the mix shift away from handsets and consumer I guess? And then how should we think about that over the next couple of quarters? It seems like it should start to increase just as your revenue grows, you made these investments in the second half of calendar 2006, and it's just kind of increased utilization there. Is that the right way to think about it?
Tom Smach: Yeah, it really is. And of course, it depends on the growth rate as we move through fiscal '08 as well and how that changes the product mix shift. In the March quarter, it's traditionally a little bit richer mix. So the margins are a little bit higher and as the higher volume consumer type programs come back and handsets start strengthening throughout the year, as they normally do on a seasonal adjusted basis. That'll compress the gross margins a little bit. But overall, I think the key metric to look at is operating margins Bernie, because SG&A will fluctuate with revenues on a seasonal basis, as will gross margins, as we saw in the March quarter. So we are looking for margins to improve next year. And we will just have to see how that plays out, relative to the various components, be it the gross margin, SG&A, and how that falls for operating margin. But we do expect it to improve.
Bernie Mahon - Morgan Stanley: The operating margins?
Tom Smach: Yes.
Bernie Mahon - Morgan Stanley: And just a follow-up on the inventory. You talked a little bit about it before. It was up a little bit on an absolute dollar basis sequentially, it sounds like because demand was a little bit weak. And demand, when it comes inline as planned for this June quarter. Could you quantify it all, how much you would expect to work down, maybe we are talking $100 million, $150 million or not quite that much?
Tom Smach: Yeah, I don't think we really want to put an objective out there because we fairly missed our March quarter objective. But if revenues come in pursuant to our guidance, we would expect some improving inventory. I just don't want to put a target out there and set ourselves up. But for sure, we are internally driving towards improvement.
Bernie Mahon - Morgan Stanley: Alright sounds good. Thanks a lot.
Tom Smach: Thanks Bernie.
Operator: Your next question comes from Kevin Kessel, Bear Stearns.
Kevin Kessel - Bear Stearns: Alright guys, thanks. My question actually Tom is also on the operating margin. Before you stated that the operating margin target for this upcoming year would be 10% growth, operating margins year-on-year, and if you were able to hit your 3% target for the year. Does it still stand the 10% year-on-year growth of operating margin?
Tom Smach: That's still our goal. Obviously with a weaker environment in terms of demand in the first half, that makes it a little bit more challenging to make progress, as we originally expected in the first half. I think there will be some progress in the first half. We expect to make it up any lost ground in the second half of the year. So that is still our objective for sure Kevin, we are working absolutely with laser focus on hitting that operating improvement target for the year. We're not backing off of that.
Kevin Kessel - Bear Stearns: Okay. Thank you. And then, in terms of the SG&A levels, I guess I was surprised to see SG&A dollars up, as much as it was on a sequential basis. Given the revenue decline, can you help to explain that or --?
Tom Smach: Yeah, sure, as you might remember we acquired IDW, the last month of the December quarter. So, what you are seeing is the incremental flow through of the IDW SG&A dollars that we didn't have a full quarter on last quarter.
Kevin Kessel - Bear Stearns: The $6.5 million there or so --
Tom Smach: Most of it. Yeah.
Kevin Kessel - Bear Stearns: Most of that. But in general, wouldn't you expect the SG&A to come down, just on a core basis with the revenue dropping the way it is seasonally or no?
Tom Smach: Most of that SG&A, you should really look at its fixed. We would have go to and do specific cost reductions to take it out. There is a little bit of variable component in that, but we try to keep that infrastructure in place because we are going to be increasing our revenues in the June and subsequent quarters as well. So, we try to keep most of that as fixed infrastructure to the extent we can.
Kevin Kessel - Bear Stearns: Okay. And then just lastly, I was surprised to see Computing down sequentially about 21%. Can you help us understand why, and then, when do you actually expect that segment to ramp? Because I think you guys have spoken in the past about that segment looking for good growth. I think Mike has mentioned over 20% growth, but so far it seems to have been delayed or so?
Tom Smach: Yeah, there is a couple of, I don't know, I would say, we are a little bit disappointed and little bit soft, I mean for sure soft in this last quarter. And that's the only segment that where we did not have double-digit growth over the previous year. So that's kind of what we kind of hold and pretty much a part of the fact that we get all these segments running at double-digit growth rates. And we did not get that one grow in that way. I think, we are really pleased with the progress our community is making and even though that there was a downturn there, we do expect this next year is, I think what you've heard from me in the past. We expected to grow a good 40% this coming year. So, FY '07, FY '08, we expect about a 40% growth rate. So, we think that it’s very healthy. We are getting projects very nicely. We are very pleased with the leverage we are getting off of the Iwill acquisition. To be honest with you, we couldn't be more pleased except for the fact that we had a little bit downturn in some of the existing customer programs. But I kind of view that as a quarterly one-off and I think our Computing strategy is intact and healthy and I am definitely comfortable with 40% growth rate.
Kevin Kessel - Bear Stearns: And does that start here in the June quarter?
Tom Smach: I don't know I am forecasting for the year so.
Mike McNamara: June will be a double digit sequentially?
Tom Smach: Yeah, actually June looks like it's going to be up around 20%.
Kevin Kessel - Bear Stearns: Okay.
Tom Smach: And then will go up a little bit from there. So I think it's a good shake. So I think this is just a one quarter one-off program and not indicative of unhealthiness.
Kevin Kessel - Bear Stearns: Thank you.
Operator: Our next question comes from Jim Suva, Citigroup.
Jim Suva - Citigroup: Great. Thank you guys, and congratulations especially in such a difficult environment. Over the last, I would say, quarter or so, we've seen some pretty meaningful changes in the competitive environment, like with Jabil acquiring Taiwan Green Point and kind of going vertical there. Have you seen any disruption as far as market share goes between you guys and FIH in them? Or anything going on there like can you get a new handset customer, or are people trying to steal from you? What's going on there with that landscape?
Mike McNamara: Yes. Well it's a market depth. Of course we spent our time trying to steal everybody else's customers and they spend their time to steal ours. So I think that goes on. There are more customers to be added in the mobile market. In fact, we picked up two new customers in the mobile market that we are pretty excited about. And hopefully, they have meaningful ramps, we'll be talking about them at a later stage. So there is still some very nice opportunities out there. But, in terms of big market share shifts, maybe not. We've accelerated some of our penetration in the Motorola. As you know, they were up to about a 10% customer in this last quarter, which is up significantly where we've had in the past and I think some of the other dynamics, a lot of people ask about Sony Ericsson. But we have very, very substantial revenue with Sony Ericsson, they have grown very rapidly. And I think it's metrical that Sony Ericsson overtime will bring on a second source outside of their own operations. So I think there are shifts going on here and there and the key thing is we grew our mobile business last year, about 50%. We expect it to grow this year in double digits again and we continue to be bullish on it. It's very competitive, but there's still business to be won out there and we're still aggressively fighting to drive it out.
Jim Suva - Citigroup: And as my follow-on to that, relative you guys were to say Hon Hai or FIH and going down the vertical model. Is there something that you need to acquire whether be it magnesium alloy or batteries or something else as it seems like Hon Hai continues to be a beast that goes even more and more vertical. How do you see yourself stacking up in that matter?
Mike McNamara: Yeah, I think their ability to go vertical more quickly across more verticals is actually a little bit better than ours. As in almost all the components, [and now over in] Taiwan, are headquartered out of Taiwan and open China, and I think there's a little bit of an advantage there. But, the question is which ones are really critical and which ones aren’t. And I think the only key and critical components that we tend to lack, are around the metal casings and potentially magnesium and aluminum alloys and such. So I think that's really the only area that we're lacking anything that's meaningful. I think once you take out camera modules and antennas and power supplies and we actually have a relationship on the battery front that we are happy with and we'll stick with that. LCD displays, and then a large percentage of the cost to that cell phone is incorporated in things that we already have. So, I think the only last piece is really trying to figure out how to close the gap on the metal piece, which as most of you guys know is a very, very big strength of FIH.
Jim Suva - Citigroup: Positive free cash flow this year, would you be using it to pay down debt or make acquisitions and grow the business or how should we think about that?
Tom Smach: Well, we're opportunistic as you know, Jim. So, we will deploy that cash flow wherever we best see it, being able to be invested. So, I think, everything is on the table and we will evaluate all options and pick the one that generates the highest return.
Jim Suva - Citigroup: Great, thank you, and congratulations again.
Mike McNamara: Thanks very much.
Operator: Our next question comes from Alex Blanton, Ingalls & Snyder
Alex Blanton - Ingalls & Snyder: Hi. Good afternoon.
Mike McNamara: Hi.
Alex Blanton - Ingalls & Snyder: Tom, I'm happy to see that you've taken one of my suggestions and given us actual numbers with the segment breakdown instead of percentages. So, we don't have to calculate that. Are we going to get the historical data on the same basis?
Tom Smach: Yeah, we could get that out to you, no problem Alex.
Alex Blanton - Ingalls & Snyder: I mean that would be nice because last quarter you had five quarters of history on percentage of sales, we would to get the last couple of years or something quarterly and the actual numbers, so everybody is on the same page?
Tom Smach: Kathy will provide that for you.
Alex Blanton - Ingalls & Snyder: Okay. Great. Now, I think somebody referred to your previous statement that operating margin might be up 10% or go from 3% to 3.3% this year, but if you look at the mid-range of your current guidance, it's not quite that at the mid-range sales. It looks like $0.94 is about 3.17%, so is that correct at the mid-range or not? You are not really giving us 3.3%?
Tom Smach: Alex, I just think, there is a range of potential outcomes that are possible. So that 3.3% is a target and what we are really driving is earnings growth and return on invested capital. And I don't want to get too many people focused on the margin and the margin target.
Alex Blanton - Ingalls & Snyder: In other words, assuming that as a means of getting to EPS?
Tom Smach: I understand. But we expect to grow earnings 15% to 20%, revenue growth of 10% to 15%. So, if we hit that objective, margins will increase, return on invested capital should increase, if we hit our cash conversions cycle targets and --
Alex Blanton - Ingalls & Snyder: But don't [direct] the question from that.
Tom Smach: Let me answer this.
Alex Blanton - Ingalls & Snyder: I guess, I am suggesting that it's not a very challenging goal, this earnings and guidance that you have given us, because it doesn't even get in the mid range, it doesn't get to what you've said you intend to get to on net margins?
Tom Smach: So here is what I think, what you guys ought to think about in terms of modeling and all that. The range that we think needs to be modeling around this 15% to 20% EPS. We have a target, we have an internal target and a goal at our company to go drive to a 10% increase in operating profit.
Alex Blanton - Ingalls & Snyder: Alright.
Tom Smach: That being said, the first half of this year is definitely down. Again not meaningfully down, but its just definitely a softer demand environment that we anticipate and that will delay our ability to go get to that goal. And I think about that it's kind of an internal target and internal goals that's where we drive into. We are hoping for a strong second half maybe it will come, maybe it won't. But we are pretty sure we can go manage our business to 15% to 20% EPS and our operating profit increased. And maybe it comes at little bit higher revenues, maybe it comes at little bit lower revenues. We're not sure, we're going to book deals based on ROIC. So I think there is a lot of range around that, but I think what you ought to be modeling is 15% to 20% operating profit growth and will be modeling in our company. We will be modeling. We will be driving in our company. If they go try to hit 10% increase in margins. And if they come a little bit later, as a result of the economy then they come a little bit later.
Alex Blanton - Ingalls & Snyder: Okay. One more try. Because when I do my modeling I don't start with percentage increase in EPS. I start with the pieces and then the percentage increase in EPS sort of drops out of that. So I'm looking at the pieces and I see 5.9% gross margin in the first quarter. Now if you could maintain that for the year and get your SG&A at 2.4%, which seems reasonable, you'd have a 3.5% operating margin, which will put the EPS and the growth rate way above what you are targeting. Do you see what I am saying, does it seem like I'm just trying to figure out how you are thinking about this?
Tom Smach: Hey, Alex maybe instead of taking up everyone's time on this call to work your model maybe, I would be happy to do that with you after the call.
Alex Blanton - Ingalls & Snyder: Okay. Alright.
Tom Smach: Thanks a lot. I appreciate it.
Operator: Our next question comes from Matt Sheerin, Thomas Weisel.
Matt Sheerin - Thomas Weisel: Yes, thanks. Mike could you update us on the various component verticals that you've gotten into and where you are in terms of profit contribution? The one is really to handsets, but in the other areas as well?
Mike McNamara: I can give you approximate numbers. Again a lot of what we try to sell as a system and don't necessarily -- obviously we have internal goals around each of the components and such. But you do have to remember, we'll compromise possibility in one component in order to overachieve another component etcetera. So it's kind of allowed us some competitive advantage as a result of that in terms of pricing and such. So again it's not perfect. But what I would say is, in Multek we continue to run in the double digits. That will come more along the high double-digits, that doesn't mean like 80s. But it means pretty significant contribution there. In the components business and I kind of bundle up things like the camera modules and LCD displays and others. We actually said we had a goal last year of getting that to be roughly EMS equivalent, and in fact we probably missed that goal by one point. We implied more like 2% operating profit instead of 3%. And we certainly expect that to go maybe up to 4, anywhere from 4 to 6, 4% or 5% or maybe even 6% this coming year. And the other major piece we have is like on power supplies, and power supplies has been an investment all this time. HP used to be an investment. We expect to churn that. We actually hope to churn that breakeven by the end of FY '07 and we did not accomplish that, it'll end up going about mid FY '08. But revenue will be higher than anticipated and we'll probably have a faster catch up. So, little bit of timing issue on that, but that one is running along nicely and that was all a home grown operation. And then we have metals and plastics and such and that's really a broad range, because we do everything from sheet-metal stamping on PC cases to high-end telecom racks to plastics and really it's just hard to model just one number for that because lot of the times, there is value add in those plastics or is a pure metal and its kind of tough to say. So, it's kind of a broad range of things so.
Matt Sheerin - Thomas Weisel: Okay. And then, what kind of traction are you getting with the Flex Circuit business?
Mike McNamara: Flex Circuit. We are getting reasonable traction. I won't say, it's fabulous, but we're probably getting more attraction in rigid-flex, which is also a new technology we brought on. Maybe we will actually see even more demand for that. I don't know the growth rates of rigid or of the Flex Circuit business, but I mean for sure it's like double-digit kind of growth rates. But I actually do not know the exact numbers sorry about that.
Matt Sheerin - Thomas Weisel: Okay. Thanks. That's helpful, thanks.
Operator: Our next question comes from Yuri Krapivin of Lehman Brothers
Yuri Krapivin - Lehman Brothers: Good afternoon. My first question is on the tax rate. So I think the effective tax rate was 4% in the March quarter. What should we model going forward Tom?
Tom Smach: Yeah, so I continue to think 7% to 10% is our long-term reasonable tax rate expectation. I think for fiscal '08, I'd be comfortable if everyone is at a 7% tax rate. So, I think we'll be at the low end of our longer-term range out there. So, 7% would be a good rate for next year.
Yuri Krapivin - Lehman Brothers: Okay. And then, Mike, you mentioned that you are seeing more and more competition, not just from your traditional EMS competitors but also from Taiwanese ODMs. So I'm just interested whether you are seeing more and more of that Taiwanese competition in the infrastructure space?
Mike McNamara: Yeah, not really to tell you the truth. Most of our infrastructure competition comes out of the North American EMS and the Asian competitors have not really put good enough offering to be that competitive. And a lot of that higher end infrastructure really needed to be reachable. I think there is a pretty significant -- with the North American EMS companies to compete there. I would say not really, I have not seen any incremental competition in that space from Taiwan.
Yuri Krapivin - Lehman Brothers: Then, what's coming out of end markets, while you are seeing incremental competition from them?
Mike McNamara: Well, the rest of them, it's not really incremental, it has been there for a long time whether its mobile phones of consumer devices or gaming systems or whatever the case may be. I mean, it maybe fine, than going after this market for years pretty aggressively. So, I actually don't see the competition, I see it continually challenging. We've not seen that much coming out of Asia.
Yuri Krapivin - Lehman Brothers: Okay.
Operator: Our next question comes from Amit Daryanani, RBC Capital Markets.
Amit Daryanani - RBC Capital Markets: Thanks.
Mike McNamara: Why don't we make this the last call, last question?
Amit Daryanani - RBC Capital Markets: Lot of smoke in there. Just a question on the fiscal '07 guidance, you guys are 10% to 15%. Assuming there is no end market growth, where would you end up? I think you are just going to a break that 10% to 15% between end market versus new ramps?
Tom Smach: Well, I would say, we are probably at the lower end of the range, so that market reflection, but 10% do you think Mike?
Mike McNamara: Yes.
Tom Smach: I mean, I guess the end market is probably growing 5% or 6% may be, the overall electronics market is may be growing 5% to 6%. We are anticipating 10% to 15%. But there was like no growth and that 6% went to zero, I would suspect it would be 8% or 10%.
Amit Daryanani - RBC Capital Markets: Alright.
Mike McNamara: That was a tough question.
Amit Daryanani - RBC Capital Markets: Well, and I guess the second part just would be, I am sure you guys talk to me a lot about just a product pipeline and new program ramps that you expect in fiscal '08. Could you just touch on that subject a little bit and where you continue to see the bigger opportunity for Flex?
Tom Smach: Yeah. We tried to attack the market pretty aggressively. We talked about Computing in a potentially 40% year-on-year. We actually anticipate each and everyone of our end market segments to grow at a double-digit rate. Again that's anticipating the overall market grows 5% to 6%, the overall electronics market. So if you think about where it's coming from, it's really a pretty broad base. We expect verticals to grow double digit. We expect PCB business to grow double digit. We expect our segments to grow double digit, I actually think. So I'd call it pretty broad base. And should that one thing that's going to take us there.
Amit Daryanani - RBC Capital Markets: Alright. Thanks.
Operator: There are no further questions at this time.
Tom Smach: Okay. Thank you very much everyone.